Operator: Good morning, and welcome to Otter Tail Corporation's 2023 Earnings Conference Call. Today's call is being recorded. We will hold a question-and-answer session after the prepared remarks. I will now turn the call over to the company for opening comments. 
Beth Eiken: Good morning, everyone, and welcome to our 2023 earnings conference call. My name is Beth Eiken, and I'm Otter Tail Corporation's Manager of Investor Relations. Last night, we announced our 2023 fourth quarter and annual financial results. Our complete earnings release and slides accompanying this call are available on our website at ottertail.com. A recording of this call will be available on our website later today.  With me on the call today are Chuck MacFarlane, Otter Tail Corporation's President and CEO; and Todd Wahlund, Otter Tail Corporation’s, Vice President and CFO. Before we begin, I want to remind you that we will be making forward-looking statements during the course of this call. As noted on slide two, these statements represent our current views and expectations of future events. They are subject to risks and uncertainties which may cause actual results to differ from those presented here. So please be advised about placing undue reliance on any of these statements.  Our forward-looking statements are described in more detail in our filings with the Securities and Exchange Commission, which we encourage you to review. Otter Tail Corporation disclaims any duty to update or revise our forward-looking statements due to new information, future events, developments or otherwise.  I will now turn the call over to Otter Tail Corporation's President and CEO, Mr. Chuck MacFarlane. 
Chuck MacFarlane : Thank you, Beth. Good morning and welcome to our 2023 year-end earnings call. Please refer to slide four as I begin my comments on our annual results.  Otter Tail Corporation delivered record-setting earnings in 2023, driven by strong financial performance across all of our segments, as well as a significant corporate cost savings. We generated diluted earnings per share of $7, beating the record of $6.78 set last year, and significantly exceeding our original expectations for the year.  The Electric segment earnings increased 6% from 2022, primarily driven by higher commercial and industrial sales, lower pension costs and the recovery of rate-based investments. Manufacturing segment earnings increased modestly from 2022. Plastic segment earnings decreased 4%, primarily due to a decrease in sales volume.  Our corporate cost center generated earnings in 2023 due to the returns earned on our short-term investments funded by the significant cash flows generated over the last few years. In a moment, Todd will provide a more detailed discussion of our 2023 financial results, as well as our expectations for ‘24 earnings.  Slide five shows our five-year compounded annual growth rate in earnings per share, with and without the impact of our Plastic segment. Even without the impact of the extraordinary results generated by our Plastic segment over the last few years, we produce a compounded annual growth rate in earnings per share of nearly 12%. With the impact of Plastic segment included, this jumps to approximately 28%.  Turning to slide six, Otter Tail Power is committed to transitioning to a lower carbon and increasingly clean energy future, while maintaining affordable and reliable Electric service to our customers. We have undertaken numerous initiatives in recent years to reduce our carbon footprint, including retiring our Hoot Lake coal plant and constructing and placing into service our Merricourt Wind Energy Center and our Hoot Lake Solar facility.  Despite taking these initiatives, we modified our near-term carbon reduction targets in response to changing market conditions, including higher natural gas prices and higher than originally forecast dispatch levels of our co-owned coal facility.  Our updated carbon reduction targets are to own and contract energy generation that is 55% renewable by 2030, to reduce our carbon emissions from owned generation resources by 50% from 2005 levels by 2030, and to reduce our carbon emissions from owned generation resources by 97% from 2005 levels by 2050.  Slide five provides a few examples of the way in which we act upon our values, focusing on safety, people and community. We are proud to share that in 2023, our two foundations gave nearly $1.2 million to strengthen the communities in which our team members work and live.  Slide 10 provides an overview of Otter Tail Power's updated five-year capital spending plan. The updated plan includes $1.3 billion of capital investment over the next five-year period and is expected to produce annual rate-based growth of 7.7%. Otter Tail Power has a strong record for translating rate-based growth into earnings. In the previous five-year period, we converted average rate-based growth into earnings growth at a one-to-one ratio.  I'll now provide a few details on several projects within the existing five-year planning period and beyond.  Slide 11 summarizes Otter Tail Power's Advanced Metering Infrastructure project with a total investment of approximately $60 million. Advanced Metering Infrastructure or AMI, lays the groundwork necessary for improved outage response and communication, which improves our customers' experience. Additionally, the infrastructure is able to integrate data and systems, allowing us to better understand peak energy use and offer energy and cost-saving options to customers.  We are targeting to upgrade more than 174,000 meters across our service territory and anticipate completing the project in 2025. We believe this project will reduce operating expenses through technology-enabled savings. Turning to slide 12, we have commenced repowering our four legacy wind farms with an investment of approximately $230 million, which includes replacing hubs, rotors and blades on the existing wind towers. Once complete, this project is expected to be equivalent to adding 40 megawatts of new wind generation with a 50% capacity factor. This project qualifies for renewed production tax credits with the passage of the Inflation Reduction Act and is anticipated to lower customer bills, demonstrating our continued focus and commitment to customer affordability.  Slide 13 summarizes Otter Tail Power's investment under Tranche 1 of MISO's Long Range Transmission Plan. Otter Tail Power will co-own two Tranche 1 projects, the Jamestown-Ellendale and the Big Stone South-Alexandria to Big Oaks, 345 kV transmission projects. Our team is focused on project development and coordinating these complex projects with our co-owners. Both projects have FERC approval for construction work in progress recovery, ensuring the timely recovery of our capital investment. In total, we estimate our capital investment in these projects to be approximately $420 million, with 70% of the capital investment to occur before 2029. These investments are expected to have a very limited impact on our retail customer rates as they are allocated across the entire MISO Midwest footprint.  Our team continues to monitor developments at MISO regarding potential Tranche 2 transmission projects. MISO continues to indicate Tranche 2 projects will be approved sometime in mid-2024. While we expect some investment opportunities arising from Tranche 2 projects, our updated five-year capital plan does not include any estimates of future investments for these potential projects. In addition to transmission investment opportunities available through MISO's Long-Range Transmission Plan, MISO and the Southwest Power Pool or SPP, partnered to develop the Joint Targeted Interconnection Queue portfolio projects focused on improving the interconnection queue backlog along the MISO-SPP seam.  The Minnesota Department of Commerce, on behalf of MISO and SPP, applied to the U.S. Department of Energy for funding to support the JTIQ projects. The U.S. Department of Energy awarded $464 million or 25% of the estimated cost to five of these projects, one of which we are expecting to co-develop with Xcel Energy. While the recovery of these projects still needs approval from FERC, we are optimistic about the eventual outcome of the potential investment opportunity, which currently falls outside of our five-year planning period.  Turning to slide 14, while we continue to focus on identifying opportunities for capital investments to support safe, reliable and increasingly clean Electric service to our customers, affordability remains one of our top priorities. From 2018 to 2023, Otter Tail Power's Electric rates have consistently remained well below the national and regional averages, even during a time in which Otter Tail Power placed significant capital investment into service. In 2023 specifically, Otter Tail's residential rates were 30% below the national average and 15% below the regional average.  Slide five summarizes Otter Tail Power's key regulatory matters in 2024. Next, I will give a more detailed update on our integrated resource plan and North Dakota rate case.  Turning to slide 16, Otter Tail Power submitted an additional supplemental resource plan filing to the Minnesota Public Utilities Commission in December of 2023. In this supplemental filing, we outlined our updated plan to meet the needs of our Minnesota customers and included a proposal to modify our resource modeling methodology. This new method may lead to directly assigning certain new generation resources to a single jurisdiction as needed. This is expected to provide additional flexibility in adding new generation resources that meet the needs of our customers in each jurisdiction we serve.  Our preferred plan for Minnesota customers, as outlined in our December filing, includes the addition of solar and wind investments and requests to designate the Minnesota portion of Coyote Station as an available maximum energy resource starting in 2029. The Minnesota portion of Coyote Station would only operate in limited emergency situations if our request is approved by the Minnesota Commission, which will reduce the output of the facility and its greenhouse gas emissions, while preserving reliability for our customers. We expect increased clarity on our five-year resource additions, following IRP and related regulatory actions in 2024.  Turning to slide 17, for the first time since 2017, we filed a general rate case with the North Dakota Public Service Commission in November of 2023. In our rate case filing, we proposed to increase net revenues by approximately $17 million or 8.4%, based on a requested ROE of 10.6% on an equity layer of 53.5%. In December, the Public Service Commission approved our interim rate request with interim rates taking effect on January 1, 2024. Customers will see an average net increase of approximately 6%.  Turning to our manufacturing segment on slide 20, our BTD Georgia expansion project is progressing well and we expect to complete the project in early 2025. Looking to our end market outlook on slide 22, we expect many of the end markets our manufacturing segment serves to soften in 2024. Despite this softness, we continue to win additional work with existing customers as they look to us to add value.  Over the past two years, we have been awarded major programs with existing customers, which are scheduled to come to market in 2024 and should allow BTD to maintain or grow revenue even with softer OEM outlooks.  With the recreational vehicle, lawn and garden, construction and agricultural end markets, dealer inventory has largely normalized to pre-pandemic levels. The recreational vehicle and lawn and garden end markets continue to be impacted by lower consumer discretionary spending in response to inflation and higher interest rates.  The construction and agriculture end markets are forecasting to be down 5% to 10% this year. Power generation however continues to be a healthy end market for us as demand remains strong.  The outlook for the horticulture end market continues to be relatively stable as the channel works through the inventory purchased in 2022 and early 2023 in response to scarcity concerns. T.O. Plastics sales volumes decreased in 2023 as compared to 2022 as customers reduced their inventory levels and are returning to normal seasonal buying patterns.  Slide 23 provides an overview of our Plastic segment. While Plastic earnings declined slightly from our extraordinary results in 2022, our Plastic business continues to capitalize on favorable industry conditions and produce strong financial results compared to pre-pandemic levels.  Slide 24 highlights historical resin costs and PVC sales pipe pricing. Profit margins were higher in 2023 as compared to 2022 as the cost of PVC resin and other input costs fell more rapidly than the sales price of PVC pipe. The sales price of PVC pipe continues to decline steadily from historic highs reached in 2022.  The Vinyltech site improvement and expansion project is underway and we project to increase capacity by approximately 8% or GBP26 million. We expect to bring this new capacity online in the second half of 2024 at a total cost of approximately $50 million. Additionally, we are planning to add another line to Vinyltech which is expected to add GBP26 million as well and should become fully operational in early 2026.  I'll now turn it over to Todd to provide additional commentary on our ‘23 financial results and our expectations for 2024. 
Todd Wahlund : Thank you, Chuck, and good morning everyone. 2023 was another remarkable year for Otter Tail. We delivered record-breaking earnings with diluted earnings per share of $7, beating the record previously set last year. 2023 also marked the 85th consecutive year of paying dividends to our shareholders. Earlier this month we announced our 2024 indicated annual dividend of $1.87 per share, which is a 6.9% increase from the 2023 annual dividend. I will now provide an overview of our 2023 financial results. Please follow along on slide 29.  Electric segment earnings increased approximately $4.5 million or 6% over 2022, driven by higher commercial and industrial sales, a reduction in pension expenses, and other post-retirement plan costs, and the recovery of rate-based investments. These are partially offset by increased operating and maintenance expenses and the impact of unfavorable weather.  Manufacturing segment earnings increased approximately $500,000 or 2% compared to 2022. Sales volumes for BTD manufacturing increased in 2023 as compared to 2022, driven by the construction, industrial and agriculture end markets, as well as incremental volumes from being awarded additional work with existing customers.  Partially offsetting this increase, T.O. Plastics sales volumes within the horticulture end market declined in 2023 compared to last year, as customers worked to reduce their built-up inventory levels and return to more normal seasonal buying patterns. Our manufacturing segment businesses worked to adjust sales prices in response to labor and non-steel material cost inflation.  Plastic segment earnings decreased $7.6 million in 2023 or approximately 4% from 2022. The decrease was primarily driven by a decline in sales volumes, partially offset by higher gross profit margins. The decrease in sales volumes was largely driven by distributor inventory management efforts and softer end market demand.  Distributors worked to destock or reduce their inventory levels during the first half of 2023 after building up their inventory levels in previous years in response to market uncertainty and supply chain challenges. Gross profit margins were higher in 2023 as compared to 2022, driven by the sales price to the cost of resin spread.  While sales prices of PVC pipe remain elevated as compared to historic levels, they have receded from the unprecedented highs reached in 2022 and continue to steadily decline. Corporate costs declined $12.7 million in 2023 as compared to 2022, primarily driven by the returns earned on our short-term investments funded by the significant cash flows generated by our businesses over the last three years.  Market-based gains on our corporate investments in 2023 and lower employee healthcare claims also contributed to decreased corporate costs. The higher level of earnings and free cash flow generated by our diversified business model in recent years has also helped to strengthen our balance sheet.  Turning to slide 30, our consolidated equity layer as of December 31, 2023 was 61.4% as compared to 59.4% as of December 31, 2022 and 53.7% as of December 31, 2021. Further, in response to our strengthened balance sheet and credit metrics, Fitch Ratings upgraded both Otter Tail Corporation and Otter Tail Power during 2023. With the close of 2023, we are ending the year in an enviable position with a balance sheet capable of supporting future growth opportunities in 2024 and beyond.  Looking to 2024 and turning to slide 31, we are initiating our 2024 diluted earnings per share guidance range of $5.13 to $5.43, which assumes an earnings mix of approximately 41% from our Electric segment and 59% from our Manufacturing and Plastic segments, net of corporate costs.  This anticipated mix deviates from our long-term expected earnings mix of approximately 65% Electric and 35% non-Electric as we anticipate Plastic segment earnings to remain elevated in 2024 compared to our long-term view of normal earnings for this segment.  For the Plastic segment, we project an eventual normal level of earnings between $45 million and $50 million, due to an expected continuing downward trend of sales prices and residence spreads occurring throughout 2024 and into 2025.  Our 2024 guidance is premised on the following assumptions by segment. Electric segment earnings are expected to increase 7% from 2023 levels due to returns generated from an 8.5% increase in average rate base. The recovery of interim revenues resulting from the general rate case filed in North Dakota and lower operating and maintenance expenses, partially offset by forecasted higher depreciation and interest expense.  Manufacturing segment earnings are anticipated to increase 4% from 2023 earnings due to higher sales volumes, a favorable product mix, improved productivity, and lower costs at BTD Manufacturing, partially offset by product pricing pressures and higher manufacturing costs at T.O. Plastics. We expect BTD sales volumes to modestly increase in 2024 as compared to 2023 due to continued growth with existing customers despite end market softness.  Additionally, in 2023 BTD was very focused on hiring and added 200 new team members throughout the year. Our focus has shifted from hiring to retain and train and expect to see productivity gains in 2024 as our new employees gain more experience.  Plastic segment earnings are expected to decrease in 2024 as compared to 2023. This assumes the sales price of PVC pipe will continue to decline from current levels throughout the year, causing margin compression. We expect this resulting margin compression to be partially offset by an increase in sales volumes. We believe customers have returned to more normal buying patterns as customers are through their destocking efforts, which impacted sales volumes in 2023.  Lastly, we expect corporate costs will increase in 2024 due to lower market-based gains on our corporate-owned life insurance policies and increased expenses associated with our self-insured health plan, partially offset by lower incentive compensation costs and higher earnings on short-term cash investments.  Our updated five-year capital spending plan, which is a key driver of earnings growth for our Electric segment is included in more detail on slide 32. Relative to the previous plan, our updated five-year capital spending plan includes additional solar generation investment, as well as more transmission investment, resulting in a projected compounded annual growth rate, on rate base of 7.7%, compared to the previous plan at 6.5%.  Our Electric utility, Otter Tail Power, has many opportunities for growth over the next five-year period and beyond, and continues to execute well on its growth plans while keeping customer rates low. In order to finance this growth at Otter Tail Power, we project issuing debt on an annual basis for the next five years. Slide 33 provides a summary of our five-year financing plan. We expect to retire and not replace our $80 million parent-level debt when it matures in 2026.  Our exposure to increased borrowing costs continues to be low risk. We do not have any outstanding borrowings on our parent credit facility, and the amounts drawn on the utility facility primarily relate to capital projects, which we expect to largely replace with long-term debt in the first quarter of 2024. The impact of these borrowings is fully considered in our 2024 guidance.  Additionally, due to the significant amount of cash and earnings generated over the past few years, we have no external equity needs over the five-year period, differentiating us from many of our peers within the utility space, who will look to access the market in order to fund their rate-based growth.  We feel well positioned to deliver upon our earnings guidance in 2024, as well as meet our long-term investment targets, as summarized on slide 36. Our diversified business model continues to produce significant total shareholder return, serving us and our stakeholders well. We enter this New Year with a sizable five-year capital spending plan, allowing for additional investment into our businesses to support future growth, so that we are best positioned to serve our customers.  We are in an excellent position to support this growth with our strong balance sheet, ample liquidity, and investment-grade credit ratings. We are now ready to take your questions. 
Operator: (Operator Instructions) Our first question comes from the line of Chris Ellinghaus with Siebert Williams Shank & Company, LLC. Your line is now open.
Chris Ellinghaus : Hey everybody. Good day.
Chuck MacFarlane: Hey Chris.
Chris Ellinghaus: Chuck, can you talk about the IRP in Minnesota and what kind of progress has been made since the meeting? And do you have a firm date for going back? 
Chuck MacFarlane: Sure Chris. Thanks for the question. So we had a hearing on January 4, and we and other parties will be providing supplemental comments on our proposed plan that was put in, in December of ‘23, specifically talking about two parts. One, the direct assignment of some new renewables to the Minnesota jurisdiction. This is associated with meeting both, the carbon-free standard and their use of externalities in planning, which the Dakotas do not use.  And then the concept of our Coyote coal plant, we're a partial owner with other utilities in that facility. We're a 35% total owner, so roughly half of that or 17% of the plant output goes to our Minnesota customers. And we would put that on a particular program that MISO has, that they can dispatch that in times of extreme load. But it would limit – historically that's been called on maybe a couple, three days a year. And that would allow continued capacity accreditation and reliability afforded by that, but limit the amount of CO2 emissions attributable to Minnesota under that.  We anticipate that the comments will come in and that we will have another hearing scheduled sometime in April with probably a decision in the May timeframe. 
Chris Ellinghaus: Okay, great. What are your thoughts on the Plastics business at this point? You gave us some revised thoughts on what normal looks like, but do you have any visibility into what your outlook is for next year at this point? 
Chuck MacFarlane: Yeah. Chris, I think as we tried to articulate in the text here and the script, our belief is that the major distributors, we sell to distributors, and these distributors would in turn sell to contractors that put in residential projects, work on highway projects, close to anything that would need sewer and water pipes. And we feel that those distributors, because it was a scarcity issue, I mean, we were on resin curtailment and other things in ‘21 and ‘22, there was simply a pipe shortage, and they bought up significant amounts, both at the end use contractor and distributor levels, which they had to destock in 2023 effectively.  And so we believe that volumes will go back up from ‘23 levels as a lot of that inventory out in the other channels has been put in the ground effectively. And if we maintain a new housing start level at the $1.4 million, which is down from a few years prior, but really is a pretty good pace when you look back. We've got it on a slide, slide 25. At that level, we continue to see pretty good pipe volume. So I don't know if that's helpful, but we anticipate volume to go up in ‘24 from ‘23. 
Chris Ellinghaus: Okay. Chuck, you were sort of pointing out that earnings and rate base have grown pretty linearly. With your new CAGR for rate base, absent the Plastics variability in the future, shouldn't we be thinking that you are kind of at or above the upper end of your 5% to 7% at this point? Have you got any thoughts on where you are in that range at this point? 
A - Chuck MacFarlane: Sure, Chris. Well, historically we made the point that we have – did a pretty good conversion of rate base in the earnings growth. We do think that that will be a little more difficult as we go forward. It will require more additional rate cases, and there's also a concern of the inflation we've seen in O&M costs over the past period, would tend to have us push the earnings growth now a little bit below our rate base growth level. 
Chris Ellinghaus: Okay. One last simple one, where did you stand on cash at the end of the year? 
Todd Wahlund: Chris, we were just over $200 million. 
Chris Ellinghaus: And so part of – I suppose, part of the earnings growth story also will be as you utilize that extra cash for utility CapEx, you'll lose some of those interest earnings. Is that sort of part of your thinking there? 
Todd Wahlund: That is correct. I mean, we don't have any equity financing needs. So to maintain our capital structure for OTP, we would need to provide some equity infusions to maintain that. So that would reduce our capital or our cash investments at Otter Tail Corporation. 
Chris Ellinghaus: Okay. Thanks for the details. I appreciate it. 
Todd Wahlund: Thank you. 
Operator: Thank you. Our next question comes from the line of Brian Russo with Sidoti. Your line is now open. 
Brian Russo: Yeah hi, good morning. 
Chuck MacFarlane:  Good morning, Brian. 
Todd Wahlund: Hi, Brian. 
Brian Russo: Hey, just on the utility, I appreciate the added information on the supplemental IRP. Is the supplemental IRP investments included in the five year CapEx yet? 
A - Todd Wahlund: So Brian, what we have in our CapEx plan for the five years is we've got the wind repowers, that's in the early part of the five year plan. We also do have a portion of the solar investment in the five year plan. Our Astoria on-site fuel is not currently in the $1.3 billion. And then the additional wind that we have out in the 2029 time period, there is a small portion that is in there in that 2027, ‘28 time period. 
Brian Russo: Okay, got it. So the $200 million increase, is that mostly the MISO transmission projects as you just kind of move forward a year and those investments pick up? Or is there a scenario where the supplemental IRP is driving incremental utility investments versus the prior IRP? 
Todd Wahlund: Yeah. So the $1.3 billion versus the $1.1 billion in the previous plan is driven primarily by the addition of the solar, and then also the additional MISO transmission, bringing in that year 2028 where we've got a little more spend. 
Brian Russo: Okay, great. And the scenario that you just discussed in response to the question on the 5% to 7% growth with the accelerated rate-based growth, is that why you're forecasting 7% utility EPS growth in 2024 versus a rate-based growth of 8.5%, or is there something else driving that? 
Todd Wahlund: Yeah, I would say overall, over the long term, we tend to be closer to that one-to-one. We do have some variations by year, whether it be because of weather or just timing on recovery. So the 7% is just driven by a number of factors and I would expect we would be closer to the one-to-one ratio as we go over the long term. 
Brian Russo: Okay, great. And just curious, was Coyote coal plant dispatched this past January with the well below average temperatures? 
Chuck MacFarlane: Yeah Brian, Coyote is dispatched at a fairly high level all the time, so. 
Brian Russo: Oh, okay. Understood. And switching to Plastics, so the new normalized earnings of $45 to $50 million versus I think your prior normalized earnings of $36 million to $41 million, does that include the Vinyltech capacity expansion, the second half of this year? 
Chuck MacFarlane: That includes both the Phase 1 and Phase 2 expansions at Vinyltech. 
Brian Russo: Okay, so you might... 
Chuck MacFarlane: In fact, within our volume projections as well as forecasted resin and the spreads, and the volume projection does include the expansion. 
Brian Russo: Okay, got it. So in the 65-35 utility and then unregulated earnings mix, that's – the 35%, that's where the $45 million to $50 million of Plastics normalized earnings are included, correct? 
Chuck MacFarlane: That is correct. 
Brian Russo: And do you think that normalized earnings will be realized for full year of 2025 or just given kind of the trajectory you're conveying on PVC prices, that margins might stay elevated through year-end 2024 and into 2025? 
Chuck MacFarlane: Yeah, at this point, we see the gradual decline in the spread over 2024 and into 2025. So ultimately, based upon our current projection, we wouldn't realize that normal level of earnings until 2026. So 2025 currently in our projections is elevated.  If you look at the midpoint of our guidance, it would be about $2.72 for Plastics in 2024. A $45 million to $50 million of earnings would be about $1.10. So we expect it will gradually decline between ‘24 and ‘26. 
Brian Russo: Okay, great. Thank you very much. 
Operator: Thank you. Our next question comes from the line of Sophie Karp with KeyBanc. Your line is now open. 
Sophie Karp : Hey, guys. Good morning. Congrats on the results and thank you for taking my question. 
A - Chuck MacFarlane: Hey Sophie.
Sophie Karp : I have three. The first question I have is I wonder if you have any opinion on the EPA, the new proposed rule to – or is the initiative to replace lead pipes in the next 10 years. Would that be beneficial to your PVC business? And what do you think are the odds of this kind of taking shape? 
A - Chuck MacFarlane: Hi, Sophie. This is Chuck. What we look at is most of the lead pipe issues in the EPA are service lines. We do very little PVC on service lines. But we think that a lot of municipalities will look at the economics of having to replace service lines on an aged main, water main in the street if you will, and that we anticipate some impact, not a lot, some impact of just overall water system upgrades, including main and service laterals, which are the lead pipes, are the homes from the main to the service.  We do see that the IIJA had about $55 billion in funds associated for wastewater improvement. Our feeling is that has not yet made its way into the actual projects yet. A lot of that money has not been allocated to the states yet. So we anticipate that that will have some support in the out years, but we're not looking at it as a major increase in PVC volumes. 
Sophie Karp : Got it. Got it. Thank you. And then my other question was, could you – like your regulatory lag or I guess lack of regulatory lag is very impressive here. Could you remind us just how much of your CapEx is going through riders, trackers and like other mechanisms like that, as opposed to rate cases? 
A - Todd Wahlund: Well, the five-year plan, about 50% of it is planned to be through riders, and only about 10%, actually under 10% is projected to be recovered through rate cases. 
Sophie Karp : Got it. Got it. Thank you. And then lastly, a little bit of an open-ended question, but maybe could you describe what kind of distribution and opportunities are you seeing in your five-year plan? So I guess we understand the generation and MISO transmission, but when it comes to distribution plans, given the specifics of your service territory, what are you focusing your attention on? 
Todd Wahlund: So our distribution spending is more upgrade or replacements. We've been increasing our capital spending on distribution assets significantly over the last few years, and that's projected to continue over these five years. I believe, of the $1.3 billion, close to $350 million, $400 million is distribution. 
Sophie Karp : And it's mostly just upgrades to the existing infrastructure? 
Todd Wahlund: Upgrades and replacements. 
Sophie Karp : Got it. Well, thank you. That's all I have. 
Operator: Thank you. [Operator Instructions] With no additional questions, I will now turn the call back over to Chuck for his closing remarks. 
Chuck MacFarlane: Thank you for joining our call in your interest in Otter Tail Corporation. Over the long term, I believe we are well positioned with our diversified business model which provides the opportunity for enhanced returns to achieve our financial targets. We expect to produce long-term compounded growth and diluted earnings per share of 5% to 7% and to increase our dividend in the range of 5% to 7% annually.  Thank you again for joining our call. If you have any questions, please reach out to Investor Relations, and we look forward to speaking with you next quarter. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.